Ioannis Stefos: Welcome, everyone, to PPC's Capital Markets Day. Today, we will present our strategic plan for the period 2026-2028, along with an update on PPC's financial performance for the first 9 months of 2025. A very warm welcome to those joining us here in London and to everyone connected via the webcast. We are here today with our Chairman and CEO, Georgios Stassis; and our CFO, Konstantinos Alexandridis. Since 2019, Georgios has been guiding PPC's transformation, steering the company towards clean energy and sustainable growth. With nearly 2 decades of experience in the energy sector, he has positioned PPC as a leading player in Southeast Europe's energy transition. Konstantinos, who joined PPC in 2020, brings strong financial expertise and a proven record in managing large listed and private companies. He has played a key role in strengthening PPC's financial foundation and supporting the execution of its transformation strategy. Together with a wider management team and all PPC employees, they continue to advance our strategy, delivering growth, efficiency and long-term value for our stakeholders. Let me briefly walk you through today's agenda. We'll start with a short introduction where we will initially present 9-month performance, proceeding next with how PPC positions itself in the Southeast European region as well as highlighting its strong track record to date. We will then outline PPC's strategy and how the company continues to lead across all parts of the value chain. And after that, we will move on to our financial targets before closing with some final remarks and conclusions. And of course, we will end with a Q&A session where we will be happy to take your questions, both from those here in the room and from everyone joining us remotely. If any question remains unanswered, our Investor Relations team is always at your disposal to follow up after the event. We expect the session to last no more than 2 hours. And now let me hand over to our CEO, Georgios Stassis, to begin the presentation. Georgios, the floor is yours.
Georgios Stassis: Thank you, Ioannis. Hello, everyone, and welcome to our Capital Markets Day from the City of London. Before we present our track record, let me provide you an update for the 9-month 2025 financial performance, focusing on the main areas. Robust profitability in the 9-month period with adjusted EBITDA reaching EUR 1.7 billion, up by 24% year-on-year. Strong performance in the third quarter, which has been driven by improvement in our integrated business and by higher revenues in the distribution activity in Greece, following the implementation of the new network charges as of June 2025. Adjusted net income after minorities amounted to EUR 400 million, being fully on track for the target we have set for the full year, which will also lead to increased dividend per share as we have committed since our previous CMD 1 year ago. We will further discuss on this later in the presentation. Investments stood at EUR 1.9 billion, mainly driven by renewables, flexible generation and distribution projects, which are the key focus areas for our business plan. Free cash flow stood at minus EUR 1 billion due to high investments despite improved FFO performance in line with our plan. Net debt at EUR 6.7 billion at the end of September with a net debt-to-EBITDA ratio at 3.1x and below the ceiling of the 3.5x that we have set in our financial policy and in line with our strategic priorities as we progress our investment plan. Let me now turn to our performance against our 2025 targets. As you can see on the slide, we are well on track on all key metrics. On the financial side, adjusted EBITDA is expected to reach EUR 2 billion, while net income will close at EUR 400 million with dividend distribution increasing to EUR 0.60 per share. CapEx, even though below our initial estimates, are expected to reach at EUR 3 billion area, reflecting our continued investments in renewables, flexible generation and distribution networks. And all that, keeping our net debt-to-EBITDA ratio comfortably below the 3.5x ratio, supporting a strong and balanced capital structure. In terms of strategy, we continue to deliver on the transformation we set out. PPC is becoming greener and more predictable as we remain on track to phase out lignite by 2026, end of 2026 with no additional decommissioning liabilities thereafter. We have extended the PPC model across Southeast Europe, strengthening our position as a regional energy champion. We are also driving customer centricity, expanding our reach through new cross-sector touch points and digital services. And we have enhanced our balance sheet through disciplined financial management and higher cash flow stability from our network business. Finally, all this progress is reflected in the performance of our share price, which, combined with our increased dividend distribution, adds value to our shareholders. PPC delivered a 168% total shareholder return over the last 3 years, outperforming the EURO STOXX Utilities Index, which stood at 62%. Overall, our progress demonstrates that our strategy is delivering the targets we have set both operationally and financially, delivering ultimately increasing value to our shareholders. During the last years, we have been consistently growing our operations, aiming at becoming a leading clean power tech and critical infrastructure player in Southeast European region. Our activities span from electricity generation to electricity distribution as well as the sale of advanced energy products and services in our 2 key countries in Greece and Romania, while also expanding our renewables footprint in Italy, Bulgaria and in Croatia. We have a total installed capacity of 12.5 gigawatts, of which 50% from renewables, including hydro, while our total regulated asset base amounts to EUR 5.6 billion. We are also the leading supplier of electricity in Greece and one of the leading in Romania, servicing 8.6 million customers in total. As highlighted at the bottom of the slide, our Energy Management unit acts as a strategic catalyst driving profitability. At the same time, we are expanding in new sectors to extract additional value and new avenues of growth. First, we have entered the telecom business, rolling out one of Europe's fastest-growing state-of-the-art fiber-to-the-home networks in Greece based on the competitive advantage we have of the rapid development of the new network at low cost through the use of our existing infrastructure. Second, we are active in e-mobility through the deployment of public charging points, being the leader in the Greek market, having also a strong presence in Romania. Last, we are also exploring further opportunities in the data center space, given our position in Greece, as we will see later in the presentation. Getting into more detail. Let me start with the distribution activity, which is keep growing, leveraging on the attractive regulatory framework with long-term periods that follow European DSO regulation with regulated asset-based models having a WACC of close to 7% in Greece and Romania. Distribution grids are the backbone of the energy transition and require major investments to keep pace with rising electrification, renewable rollout and grid flexibility demands. And towards this end, we are upgrading our networks in both countries, focusing on the digitalization of the infrastructure, implementing a nationwide rollout of smart meters, especially in Greece, which is lagging compared to the other European countries. As a result of continued investments, we have increased our total RAB at EUR 5.6 billion, having doubled the EBITDA to EUR 800 million over the last 4 years. Next, a few words about our integrated business model, which is supported by a total generation capacity of 12.4 gigawatts, about half of which comes from renewables and a customer base of 8.6 million customers in Greece and in Romania, where we hold -- when we are the leading market in both of the countries positions. This integrated model covering generation, retail and energy management has consistently driven our profitability while providing a natural hedge against volatility in energy markets. It allows us to deliver resilient performance even during periods of extreme market disruption. We have seen both sides of the cycle in low prices environments, such as during COVID, when wholesale prices and generation margin declined, our retail line provided a stable revenue stream from our large customer base, keeping overall profitability within the targets. On the other hand, during periods of high prices, such as the recent energy crisis, retail margins came under pressure, but our generation business benefited from stronger wholesale prices, again, balancing the overall performance. As a result, PPC has managed to consistently meet its profitability targets, effectively leveraging the advantages of its integrated business. Between 2021 and 2024, we doubled our adjusted EBITDA, achieving a 26% CAGR, and we are now on track to reach EUR 1.2 billion in 2025. PPC's growth trajectory is further supported by favorable macroeconomic trends in its core markets despite some headwinds in Romania, especially in Greece, is among the fastest-growing economies in the European Union with GDP growth expected to outpace the European Union average over the coming years. The macroeconomic environment in both countries continues to strengthen, particularly in Greece, where the 10-year government bond spread has normalized significantly, now trading below Italy's for the first time in many years. This improved macro backdrop supports investment confidence, providing a stable foundation for PPC's continued expansion and value creation. A growing economy, combined with ongoing electrification, is expected to drive power demand higher in both Greece and Romania, reaching an approximately 25% increase until 2035 for both countries. We have already seen such inflection points in Greece with power demand increasing in the last years by 4% between 2020 and 2024, which sets the basis for the evolution of the years to come and provides comfort in our projections. Beyond macroeconomic growth, both our key markets are also benefiting from European Union funding, which continues to support investments across multiple sectors, stimulating GDP and further boosting electricity demand. In addition, the acceleration of data centers development is expected to become a significant new demand driver. However, in our projections, we have taken a conservative approach, assuming a base case scenario for data centers in Greece and Romania. Let us now pass to the next section of our presentation, focusing on how our company will continue in the next 3 years, its journey of transformation in one of the most significant European utilities. Over the past few years, we have been focusing on our integrated model, aiming to capitalize on the opportunities presented by the ongoing energy transition and digitalize all our operations. The digitalization theme becomes more and more important, especially given the AI revolution that is underway. In the distribution activity, we have been increasing our investments to modernize our networks and improve service quality. However, we need to continue investing further to address the new challenges posed by rising demand, also driven by the rapid deployment of data centers. On the generation side, we have been scaling up investments in renewables and clean energy technologies, and we will continue to do so as these are much needed in the Southeast European region. At the same time, we are not investing only in renewables. We are also deploying capital in flexible generation assets, which are critical to balancing the market and are able to secure higher capture prices compared to other generation sources. And for that purpose, we are investing in batteries and in new gas assets, in new CCGTs. And of course, all these initiatives are supported by our retail activity and our customers who remain central to our strategy. We are committed to meeting their energy needs and offering additional complementary services, focusing in particular on high-value customer segments that are key to our long-term growth. Before we proceed to the various activities analysis, let me make a brief reference to the strategy we follow focusing on 4 key areas. At first, we are a vertically integrated utility with presence in the generation, distribution and sale of electricity, having, therefore, an internal natural hedge that protects us from the volatility of energy markets, making our business more resilient to exogenous shocks. And it's very important part of our strategy. Then we are technologically agnostic, I would say, investing in all kinds of electricity generation technologies, which are competitive and sustainable for the long run. Technologies which complement each other, so we can be well prepared for power price fluctuations, which we think will continue in the years to come. We are investing in renewables; solar, wind and hydro. We are investing in batteries as well as flexible gas units. So technology diversification is a strategic choice for us. Third point, we are doing a regional play, expanding in neighboring countries, all of them interconnected as a common European market, but with physical interconnections linking them to each other. Countries that have high growth potential where renewables rollout is not yet in a mature stage and the decommissioning of coal assets has not finished yet. In fact, in some of them, just started. These are countries with interconnections between them that provide significant cross-border trading opportunities. In the Southeast region, we are operating in the utility space where the power prices are impacted by, I would say, 4 main forces in the area we are. First, the energy transition itself. So those countries have their own growth potential. Then the energy saving, meaning that through technology improvement, there is an energy saving. But also on the other hand, the electrification coming from other industries moving to our industry, meaning heating and cooling or the automotive industry, for example. Then again, in these regions, we have also something unique that you cannot find elsewhere. And that is, unfortunately, the Russian-Ukraine conflict that is draining energy through interconnections and that will continue to do so in a much higher pace, especially, god willing, during the reconstruction phase when hopefully, the war will end. So Southeast Europe is an area with relatively high prices versus the rest of Europe versus Central and West Europe, a situation that we don't expect to change by the end of the decade, being impacted a lot by the reconstruction of Ukraine. So to conclude on this point, our regional play strategy is very important for us and of course, a source of value. Then the fourth point of our strategy is our focus on customers, which, as I have said many times, are the anchor for our growth, and that is why we are strengthening our retail services to achieve best-in-class holistic customer experience. We try to offer a holistic service to our customers in various different ways, so to stay in every household and on back of this to support our generation transformation and growth. And to achieve all this, we are leveraging on the AI and digital evolution, assessing its impact across all operations, as I will elaborate in the next slides. PPC has been in a growth path all these years, increasing its renewables footprint, investing in flexible generation assets while at the same time, decarbonizing its generation portfolio. We saw earlier that we have achieved a good track record so far in the renewables build-out, but our targets are even more ambitious going forward. We are targeting a 12.7 gigawatts of renewables capacity by 2028, which is 5.5 gigawatt increase compared to the projected capacity at the end of this year, increasing its share in our energy mix up to 77%. At the same time, we are phasing out lignite by the end of next year, shutting down the last unit of Ptolemaida V and starting its conversion to a gas unit. Initially, it will be converted to a 295-megawatt open cycle by the end of 2027. And next, it will be upgraded to a 400-megawatt CCGT by the second quarter of 2029, having already locked a total CapEx cost, which is significantly below EUR 1 million per megawatt. On top of this, we are also adding a new 840-megawatt combined cycle gas turbine unit in Alexandroupoli, as you know, which is ongoing its construction in Northern Greece. Those 2 new high-efficiency units will actually replace 2 older units, improving the efficiency of our overall generation portfolio. As a result, our portfolio is becoming greener and more efficient with significantly decreased CO2 emissions, which will be even further reduced driven by decommissioning of oil capacity given that additional Greek Islands are interconnected in the mainland in the coming years. Let us now take a closer look at our renewables rollout, our forward targets and the confidence we have in achieving them. As we saw earlier, our goal is to reach 12.7 gigawatts of renewable capacity by 2028, representing an increase of 6.3 gigawatts from where we stand today, more than doubling our current installed base. And while this may appear quite ambitious, we are fully confident on delivering it. Our strong track record, as highlighted in previous slides, supports this confidence. But even more importantly, we have already secured 3.9 gigawatt of projects that are either under construction or ready to build, including our operating capacity of 6.4 gigawatts. This brings the total to 10.2 gigawatts already operational or secured, which accounts for about 80% of the target we have for 2028. And on top of that, we have a total of 20 gigawatt, anyhow, gross pipeline of various in development stages and technologies projects, giving us significant optionality and flexibility in selecting the most attractive projects for future investments and replacing also projects which things might not go well. Volatility is another thing. Volatility is one of the most commonly used words over the last years to describe energy markets. In the key markets where we operate, such volatility is evident from the increase of average spreads of power prices in the day-ahead market that has been recorded in the recent years. And of course, we do acknowledge the role of 0 and negative power prices that we have started experiencing within the last 2, 3 years, which we have embedded in the assumptions of our business plan since this has become a part of the environment we operate. It is true that the renewables evolution inherently produces periods of excess generation with wind and solar output exceeding grid or market capacity. Traditional systems view this as a failure. However, we think there is a great opportunity which lies in monetizing this surplus of generation. Curtailment is a feature of the clean energy system, a reflection of abundance, not of inefficiency. By embracing this as a resource, we transform volatility into profitability and variability into resilience. For us, it is not a story of constraint, but of integration and smart capital allocation, turning a systemic challenge to a competitive advantage. Batteries are the most compelling asset absorbing excess generation when they charge and discharging at high value during low renewables times, particularly in the evening. As the cost of solar and wind continues to fall and their contribution to the power mix rises, flexibility is becoming a top priority. Fossil fuel currently provides the bulk of flexibility in the power system, both in terms of dispatchability and meeting peaks in demand. It is a feature, a signal of successful decarbonization and the market opportunity for those positioned correct to extract value for flexibility, integration and optimization. As a vertical integrated utility PPC, we are uniquely placed to transform curtailments viewed as a waste into sources of margin, resilience and growth. Flexible generation is key in the current market environment, both for profitability optimization as well as to support the stability of the grid and the security of supply. With wind and solar playing a central role in the power systems of the region, assets that can adjust their output in response to system needs bring substantial value. There is a range of technologies that satisfy flexibility needs. Their contribution depends on their ability to react over shorter or longer periods and their cost competitiveness. Flexibility requirements over shorter periods can be better satisfied by batteries, while flexible hydro and gas are better positioned for longer-lasting challenges. Flexible assets unlock earnings by turning volatility into opportunity, capturing intra-day price spreads, firming our renewable output and protecting supply when the system is tight. Through the combination of multiple revenue streams, these assets sharpen our commercial edge, boost cash flow resilience and support disciplined growth in a more volatile power market. And that's why on top of the significant renewables build-out that we are implementing, we are also investing in flexible generation assets. We already have a significant portfolio of pumped hydro and gas assets, and we are also developing batteries. Our main focus is stand-alone batteries. By charging in low-price hours and discharging when power prices are high, stand-alone batteries give us flexibility when it's most valuable. Additionally, they provide ancillary services where reserve capacity is tightening. And this allow us to monetize volatility, combine revenues from both day-ahead and balancing markets, creating a flexible trading asset that enhances our commercial performance across the portfolio. There are also certain cases where batteries co-located with the renewable assets in the same physical site also work for us. Colocated batteries paired directly with our solar and wind assets unlock a different value proposition. They reduce curtailment and cost of imbalances, stabilizing output profile of the renewable asset, enhancing its economics. The main constraint is that charging is limited to the paired asset, which reduces arbitrage optionality. However, the availability of subsidies and grants outweighs that constraint in Romania, for instance, making their business case very solid. And that is why we are proceeding with the development of additional 232 megawatts of co-located batteries by 2028. Overall, our business plan includes the development of approximately 1.5 gigawatt of batteries in Southeast Europe over the next 3 years. These batteries are coming mainly from our internal licenses development, but we will not exclude further batteries capacity deployment also through partnerships. Gas. Gas has a dual role to play in the region, both as bulk generator and a source of flexibility as well. With approximately 13 gigawatts of thermal capacity coming offline over the next 5 years due to both technical and economic constraints, the region faces a structural capacity deficit, which is a huge opportunity for us. Apart from renewables, new high-efficiency CCGTs can fill this gap, delivering reliable baseload and mid-merit power with high fuel efficiency and lower emissions. And that is exactly the space within which our under construction CCGT in Alexandroupoli will operate on one hand. And additionally, we are also exploring the possibility of a CCGT in Bulgaria. Moreover, gas is also a valuable source of flexibility. As mentioned earlier, as renewable surge and volatility grows, fast ramping gas units become essential, offering long duration unconstrained flexibility. And this flexibility is becoming a premium commodity in the region in Southeast Europe. The conversion of Ptolemaida V lignite unit into the open cycle gas turbine, we said, is such an example, alongside with an opportunity of a peaker gas plant in Romania. These 2 roles, the bulk power and the high-value flexibility, create a compelling opportunity for our integrated portfolio. We already have a substantial flexible generation capacity of 6 gigawatts, which generates close to 10 terawatt hours on an annual basis from a series of technologies. And we will continue to invest in flexible technologies for generation since we see high value as explained previously. In this slide, we try to illustrate the growth of our flexible generation assets to 2028 in such technologies as we described in the previous slides. Just to note that apart from batteries and gas, we are also investing in hydro with 29 megawatts coming in operation until 2028 and being added to the existing 3.2 gigawatts that we have in operation, out of which 700 gigawatt has already pump hydro capability. And of course, we are also developing significant pump hydro capacity in our former lignite areas in the quarries of these lignite areas, which will become operational beyond 2030. As a result, we are modernizing and increasing our flexible generation capacity at 7.5 gigawatt by 2028, generating 11.4 terawatt hours on an annual basis. Let's take a look now at how we are strengthening our position across the region. I talked about our regional play before, and this is the slide which illustrates this better. Over the past few years, we have built a solid presence in Greece and Romania, also expanding in the broader Southeast European market. And these markets where we see significant growth potential driven by increasing demand. These are countries which are lagging behind renewables penetration versus the rest of Europe, countries that have not proceeded with the decarbonization of coal-fired assets in the same pace as the rest of Europe. And on this, we see additional benefits from the existing interconnections between these countries. The vertical corridor; Greece, Bulgaria, Romania, including also Italy, enables PPC to optimize our integrated portfolio, achieve economies of scale, diversify risk and assess opportunities in less congested renewable markets such as Croatia. Energy management orchestrates the total commercial performance of our entire portfolio. Every megawatt, whether produced by our conversion plants, generated from renewables, stored in batteries, traded cross-border or contracted through PPAs, every megawatt is optimized across day ahead, intraday and balancing markets. And this ensures that we monetize flexibility, not just the energy produced. Overall, our regional footprint provides a unique competitive advantage as PPC remains the only vertical integrated utility with a strong operational presence across the Southeast European region, a region characterized by significant energy flows and growing interconnectivity. We have already seen the strong progress we are making in our generation portfolio. But what is also really important is how we grow in renewables and flexible generation, how this growth strengthens the other side of our integrated business model. I'm talking about the retail across both Greece and Romania. Starting with Greece. We continue to hold a long position in retail, and that remains practically unchanged even by 2028. That is despite the major build-out in renewables since we are also retiring older, less efficient thermal plants during the period. So what you see in this slide, our growth is not just about adding capacity. It is making the system cleaner and more efficient. The same story applies in Romania. As we deliver on our pipeline there, we will be able to significantly narrow the gap between generation and retail, reinforcing the balance of our integrated model. And even beyond 2028, PPC remains long in retail, and this is something we like since it is giving us the flexibility and the headroom to keep growing across both markets and in the region in whole. Given the importance of our customers, we have been following all these years a customer-centric approach. During the last 3 years, we have been rationalizing our customer mix in Greece by reducing market share from low-value customers, which have no meaningful margin for us, while keeping market share in segments with high value for us. And this has helped us build a retail portfolio on a solid customer base with low switching behavior and increased profitability. In Romania, we have entered the market since the end of 2023, having a resilient position in terms of volumes sold, and this is something that we are expecting going forward. But we are not only a commodity provider to our clients, we are looking to expand our portfolio of value-added services to support our customers across all aspects of their energy transition journey such as heat pumps, solar panels or consulting services. In parallel, we are also introducing technology services that enhance the everyday living for consumer and businesses such as fiber-to-the-home, charging points for electric vehicles, AI-based tools and devices as a service. Our Retail business unit is strategically important, and we will pursue further growth opportunities also throughout our regional footprint if available. A very good example of our synergies in the retail activity is Kotsovolos, the Greek retailer of wider electronic appliances that we acquired in 2024, which is bringing valuable assets in PPC Group. First, procurement capabilities and strong logistics infrastructure, which allow us to manage products and equipment efficiently at competitive costs with reliable delivery performance. Second, a consolidated delivery and field force network providing nationwide execution capacity across installation, maintenance and aftersales services. Third, an integrated technology platform for product sales and supply chain management, enabling seamless customer journeys. Fourth, an upscale channel network with access to large and diverse customer base, including both physical and digital touch points. And finally, a broad portfolio of around the home products and services covering energy solutions and everyday home needs. Building on these assets, several synergy streams with PPC as well, we are already up and running and ongoing in this process. We have launched a joint heat pump proposition, and we introduced products and service corners inside the PPC stores supported by Kotsovolos technology. In addition, we have built a new service of Kotsovolos field technician network that allow us to offer home energy network, safety certificates mandatory for all households in Greece and a huge market for PPC. We are also extending the reach of PPC's energy and fiber plants through Kotsovolos channels and enriching PPC's energy consulting tools with Kotsovolos marketplace offers. And all of these synergies are designed to accelerate commercial performance, enhance customer experience and demonstrate the value of Kotsovolos in our holistic approach towards our customers. It is this value that Kotsovolos is bringing to PPC, which makes it one of the best acquisitions we have ever made. Moving next to our telecom business, where we are building a leading position as a wholesale provider to a fiber-to-the-home network in Greece. During the last 2.5 years, we have been deploying our network all over Greece, taking advantage of our electricity distribution network. This existing infrastructure is mostly aerial, providing us a unique competitive advantage to quickly roll out our fiber network and at a lower cost compared to other telco players, having an average cost of EUR 160 per home passed. Our network has already exceeded 1.4 million homes passed, and we expect to reach 1.7 million at the end of the year. Given the high pace that we are having so far, we are targeting 3.8 million households by 2028. Currently, we are able to provide connection to the FTTH network to 600,000 ready-for-service homes and businesses. And at the same time, we have recently launched a retail telecom FTTH offering, providing ultrafast Internet services at very competitive prices given the very low development costs that we have in the FTTH network rollout. As we speak, we have reached a pace of 5,000 customers per month, although we almost just launched. I mean, we launched in the middle of the summer. And by the end of the year, we expect to reach 18,000 connections, and that is in an area of 600,000 ready-for-service neighborhoods. For this going forward, we are targeting at ramping up significantly our customer base, leveraging on our existing clientele on the electricity side as well as our unique retail proposition, which combines the most technologically advanced FTTH network in Greece at the lowest price. We have already invested around EUR 190 million, and we plan to invest another EUR 420 million until '28, targeting at a run rate EBITDA of more than EUR 100 million beyond 2030. Let's now take a look at our distribution business in Greece and Romania, where we plan to continue investing significantly to capitalize on the stable and favorable regulatory frameworks in both markets. Both countries operate under a regulated asset-based model with long-term regulatory periods and a weighted average cost of capital, the WACC, of around 7%, providing strong visibility and attractive returns to support the continuous growth of our asset base. In Greece, the WACC has been set at 7.05% for 2025 with a WACC being on average at the 7% area for the period '25 to '28. In Romania, the regulatory framework is broadly similar with a 5-year period extending to 2029 and a WACC of around 6.94%. Importantly, we have also secured RAB indexation for inflation, further supporting returns and value growth. We plan to invest an average of EUR 900 million per year until 2028, which will enable us to increase the share of regulated EBITDA and enhance our overall cash flow stability. By 2028, our target is to reach a total RAB of EUR 6.5 billion, split between EUR 5 billion in Greece and EUR 1.5 billion in Romania. Investments in distribution networks are essential to support the rapid electrification of the economy, the large-scale integration of renewables and the overall energy transition. And to this end, we are increasing the pace of our investments in order to enhance and digitalize our electricity distribution networks. As you can see in the left 2 graphs, we are increasing investments for the period '25 to '28 by 40% in Greece and by 36% in Romania compared to the previous 4 years. And even though this increase may seem as quite high, still it is not enough to fully address the challenges that the distribution networks are facing. However, we need to keep a balance between the modernization of the grids and the affordability of electricity tariffs for the end consumers. For the next 3-year period, we are focusing on grid enhancement and digitalization, placing emphasis on smart meter rollout, especially in Greece. Over the past few years, PPC has undergone one of the most ambitious transformation journeys in our industry. We began by building the digital foundations of the group, modernizing our core systems, migrating 100% of our applications to the cloud and digitalizing customer and operational touch points across the portfolio. This work has already delivered significant performance improvement with our digital performance index increasing nearly twofold since 2021. We are today one of the very few utilities that we are 100% cloudified. And this is very important because only in that position, you can now have all data available in the cloud for AI engines to begin work and operations and applications in our way of working. Unless the digital transformation work was not performed in the past years, this benefit would not have been in front of us. And moreover, this year, PPC has entered our next AI-driven this time chapter. Our strategy is clear. On one hand, to reinvent PPC as an AI-powered utility so to let AI guide us in the changes we need to do internally, while on the other hand, to benefit from the AI infrastructure needs as a utility servicing others, and we'll talk about that later on. But first, becoming AI reinvented utility. This means embedding artificial intelligence across every part of our business, reimagining the customer experience, optimizing our core operations, accelerating new business growth, transforming corporate functions and empowering every employee with AI capabilities. We see AI not as an add-on, but as a fundamental competitive advantage that will allow us to operate smarter, faster and more efficiently. And we have a disciplined plan to deliver this. At first, we have activated AI across the group, launching priority AI use cases and upskilling our people. Then we scale adoption and accelerate value creation across business units. And from year 3 onwards, we reinvent key processes end-to-end, embedding AI at the heart of how PPC operates. The result will be a PPC that is more agile, more customer-centric, more operationally efficient and better positioned to lead the energy transition across the region. Our commitment is simple: To execute with certainty and to continue creating sustainable, measurable value for our shareholders. And as I said, this is the one side of the coin is how AI is impacting the way we operate internally, while the other side is how we, as a utility, impact and help the AI evolution through our infrastructure. Around the world, data centers have become one of the fastest-growing sources of electricity demand, driven by cloud expansion, AI adoption and digitalization of every sector. Global capacity continues to increase at a fast pace. Europe is a dynamic market in transformation, driven by sovereignty mandates and enterprise adoption. Historically, development has been concentrated in the primarily European Union markets, the so-called FLAP-D, where connectivity and hyperscaler presence created powerful network effects. But today, those core markets are increasingly limited by land, scarcity, grid constraints and long connection queues. As demand accelerates, the industry is expanding outward, creating new growth corridors across Europe where power and land can be secured at scale. This shift opens a strategic window for energy players like us. As a vertically integrated utility with access to land, infrastructure and reliable diversified power, we are uniquely positioned to step into this emerging market. Our entry into data centers builds on our core strengths and supports regional digitalization. Our role is evolving from a traditional energy supplier to infrastructure provider for AI-driven growth. With our generation portfolio expanding renewables, flexibility assets, grid capabilities and fiber connectivity, we can offer the reliable diversified energy ecosystem that AI consumers need. And for this reason, we have announced the development of a mega data center in the region of Kozani, where our former lignite mines were located. Initially, the mega data center will have a capacity of 300 megawatts with a potential of expansion to 1 gigawatt. The data center will be powered by a diverse mix of power capacity, including both clean and flexible technologies that are already under development. Leveraging the existing grid infrastructure, the availability of land and the new power capacity; the biggest advantage of this project is scale and time to market. However, I want to highlight that this project is not included in the business plan that we are presenting today since we do not have a fair commitment yet from a hyperscaler. This is an optionality that we are developing, but we will only invest when the commitment is in place. Our mega data center development in Kozani location is unique. It brings together grid connection, water for cooling, gas infrastructure, land ownership and soon international fiber connectivity. Very, very few places in Europe can offer this full package. The site can host 300 megawatts within 2 years of signing and is fully scalable up to 1,000 megawatts. Behind-the-meter supply ensures no impact on the National Electricity System, neither on prices nor on grid stability. And to support the 300-megawatt phase, we would upgrade Ptolemaida V to a 440-megawatt CCGT and add an additional 100-megawatt OCGT next to the data center, giving us 540 megawatts of flexible capacity dedicated for this ecosystem. We are already in discussions with several hyperscalers and global DC developers, and the feedback has been very positive. Demand today is centered in the U.S., but Europe will follow. And when it does, we want to be ready with what we believe is one of the best sites in Europe. Such a project derisks totally the output of the 2.7 gigawatts we are developing in Kozani, secures long-term PPAs with top-tier offtakers and creates additional value from land and infrastructure. All in all, Kozani site provides everything a data center needs in one place; power assets, cooling facilities, fiber connectivity and land, positioning PPC with a site that very few locations in Europe can match. Again, I want to be very clear. What we are presenting here is an optionality. We are investing 0 equity today, and we will move only once we have an agreement with a hyperscaler. Let me now pass the floor to Konstantinos, who will present you our group financial targets for the following years.
Konstantinos Alexandridis: Thank you, George. Hello to everyone, and thank you for being here today with us and also for the webcast. So before deep diving into the financials, let's see how the drivers, the key drivers of our operations are expected to evolve during the years compared also to our view in last year's Capital Markets Day. Power prices are driven mainly by the marginal cost of the generation, heavily influenced by gas prices and CO2 prices. The evolution is further shaped by the growing share of renewables and the region's capacity tightness. We expect a steady deescalation of gas prices from the current level of EUR 40 per megawatt hour down to EUR 27 in 2028 as the gas market becomes oversupplied due to new LNG production coming online from Qatar field and the U.S. On the other hand, we continue to believe that CO2 prices will escalate as we move towards 2030, surpassing the EUR 100 per million ton threshold as allowances withdrawal creates a tight market. At the same time, rising demand and aging and inefficient thermal fleet in the region as well as Romania's major nuclear refurbishment strain the regional capacity balance, adding upward pressure on power prices. As a result, we foresee that prices will hover around EUR 100 per megawatt hour area. The financial targets I'll be discussing about have been thoroughly stress tested for various ranges of all these assumptions. But the most crucial element, as I mentioned before, is the gas price. Although we consider that further decrease of the gas price versus what you see in this chart should be treated as a tailored scenario, we have assessed the impact of a 10% reduction in the gas price that results to less than 1% negative profitability in our numbers, and this is due to our vertical position. Nonetheless, the level of prices we have used in our models are in the right direction since they have been verified during our discussions with hyperscalers for the data center. The realization of which we fully derisk our profitability from generation. Having seen the market dynamics, let's now see the targets that we have set in this year's strategic plan. We continue our transformation journey while at the same time, we keep improving our profitability. In terms of adjusted EBITDA, PPC reached EUR 1.8 billion in 2024 full year results, and we are confident we will reach a EUR 2 billion performance for 2025. Our next year's adjusted EBITDA will reach EUR 2.4 billion. And for 2028, we expect the performance to climb to EUR 2.9 billion. That is an 18% compound annual growth rate between '23 and 2028. Key drivers of this growth are the resilience provided by our integrated model irrespective of the persistent volatility within the years. We have demonstrated this resilience with our solid performance throughout 2020 to 2025 during COVID and also during the energy crisis. Another key driver is the additional capacity in renewables, but also flexible generation. As George mentioned before, we want to be present in all technologies and in all geographies, leveraging on the interconnections between the countries. Adding to that, we have the regulated business of distribution that grows as we keep investing in the network. Lastly, let's not forget the loss-making lignite activity that we have committed to stop operations in 2026, and we expect to free up profitability. Greece is our home country and given our significant investments in the country, the majority of this growth is generated in Greece. Still, the contribution of our international activities are expected to gradually and steadily increase. To better understand these dynamics, let me give you some data. I said before that 2028 will be a EUR 2.9 billion EBITDA. This is additional EUR 0.9 billion from 2025. Let's break this down. The integrated business, meaning the generation, energy management and customers is expected to contribute approximately EUR 0.7 billion, and this is mainly driven by the new capacity additions in renewables, but also flexible generation. If we also add the benefit from shutting down the lignite, the fully integrated business delivers a EUR 0.8 billion increase in profitability. And within this number, we do not take into account the capacity that's still under construction, we expect to see this additional profitability of approximately EUR 100 million to EUR 150 million in the next year's profitability, and that is after 2029. For these amounts I just mentioned, we feel very confident as they are directly correlated with the new additions in renewables and flexible generation, where we have a solid set of projects under construction already to build as well as in the licensing and permitting process. All these are backed by a strong pipeline of projects totaling more than 20 gigawatts in various maturity stages. Distribution will add another EUR 0.2 billion, given that the regulated asset base is expected to reach EUR 6.5 billion. This operational profitability drives the bottom line. We expect that the adjusted net income will grow to EUR 0.7 billion in 2026 and reach EUR 0.9 billion in 2028. This is a 50% increase from '25 to '26 and a 100% increase from '25 to '28. Main drivers remain the additional capacity in renewables and flexible generation, the lignite phaseout and the distribution. With the planned full decommissioning of the lignite assets by the end of 2026, we will eliminate the high depreciation charges that are associated with these assets, resulting in a net income improvement of EUR 0.2 billion from '25 to '28. This also explains the faster pace at which the net income is growing versus EBITDA. Consequently, earnings per share will increase from EUR 0.7 in 2023 to EUR 2.5 in 2028, reflecting a compound growth rate of nearly 30%. This EPS growth is translated to a dividend per share of EUR 1.2 in 2028, indicating a compound annual growth rate of 37% versus the EUR 0.25 DPS of 2023. This is the fastest DPS growth in the European utilities industry. In fact, by 2028, our shareholders will be receiving nearly 5x the dividend of 2023, reinforcing our commitment to delivering consistent tangible value and making our equity story stand out in a traditionally low growth sector. To reach this growth in our financial performance, we continue our investing efforts in the Southeast Europe region. Over the next 3 years, we will plan to invest EUR 10 billion in CapEx, being selective on the projects we prioritize. Our top priority remains our renewables expansion, along with the opportunities we have identified in the flexible generation. The combination of the 2 will consume 58% of our EUR 10 billion investments. That is approximately EUR 6 billion. If we compare this amount against the incremental profitability I told you before on the integrated business, this is an implied EBITDA yield of 13%. And this is without accounting for the CapEx that is not delivering EBITDA yet. Adjusting for the net effect of this, the EBITDA yield grows to 14%. Remaining areas where we will be focusing are networks, telecoms, digitalization and, of course, retail. Specifically for networks, we will continue building on enhancing the grids, increasing the smart meters footprint and of course, digitalization to support the national energy and climate plan in the countries we operate. Excluding the maintenance CapEx of around EUR 200 million to EUR 250 million per year, the growth CapEx is at the level of EUR 9.5 billion. Out of this, approximately 50% is not yet committed, and therefore, it is at PPC's discretion to deploy. Our disciplined capital allocation policy allows for a spread between IRR and WACC of more than 150 basis points. PPC will continue to generate a strong annual FFO totaling to EUR 7 billion for '26-'28. These operational cash flows will serve as the primary funding source for our ambitious CapEx plan and our dividend policy in the coming years. The remaining needs will be covered by new debt of approximately EUR 3 billion that will be raised mainly at parent level, being mindful of structural subordination. Part of this debt is already secured, utilizing our RF funds with the participation of commercial banks. We have well-diversified funding sources, but one of our primary channels will remain the debt capital markets as we intend to be repeated shares. Thus, it is evident that we have no need for any equity increase to achieve our growth targets. We are maintaining our financial policy targets unchanged to previously communicated guidance. Our leverage target remains at 3x to 3.5x by 2028. And as you can see in the chart, we allow headroom to absorb volatility in the markets. This leverage ratio supports sustainable growth, balancing ambitious investments in all our business lines with sound financial discipline. This balance positions us to create value for our stakeholders while preserving financial health, clearly reflecting our intention to achieve investment-grade rating metrics in the medium term. And with that, I'd like to pass it back to Georgios for his concluding remarks. Thank you.
Georgios Stassis: So thank you very much, Konstantinos. We have tried to illustrate to you our key strategy on the basis of which we are growing the last years and how we will keep on growing in a remarkable manner the following years, navigating the energy transition and the associated volatility. We have presented our vertical integration, our regional growth strategy, our technology diversification, our natural hedging possibilities and the analytical way, we will keep on growing the coming years. This strategy has enabled us to meet the targets we have promised so far and provide us comfort for the ones that follow. As you can see in this slide, we are targeting for a significant step up to an EBITDA level of EUR 2.4 billion in the next year and an EBITDA level of EUR 2.9 billion in 2028. Accordingly, we are targeting for a net income of EUR 700 million in 2026 next year and EUR 900 million in 2028. Increasing substantially EPS initially at EUR 2.1 next year and EUR 2.5 in 2028. With regards to dividend per share, DPS, follows a similar trajectory, increasing at [ EUR 0.8 ] in 2026 and growing up to EUR 1.2 in 2028. And all of that, following a prudent financial policy, keeping the net debt to EBITDA -- the net debt-to-EBITDA ratio below 3.5x. In the previous slides, I have been referring a lot to the volatility we see in the energy markets, how our integrated business model has helped us navigate in such conditions, and how we prepare ourselves to face this market volatility. Such volatility is also evident from the increase of average spreads of power prices in the day-ahead market that has been recorded in the rest of the years. And of course, we do acknowledge that all of 0 negative power prices that we have started experiencing within the last 2, 3 years which have been embedded in our assumptions since it has become part of the environment we operate in. And that is why, on top of the significant renewables build up, but we are implementing. We are also investing in flexible generating assets in order to be -- to balance -- to be balanced in times of low renewable generation or profitability that may be driven by 0 or even negative power prices. We have a large portfolio, pumped hydro and gas assets, and we are also developing batteries and such flexible generation technologies can capture significant upsides in times of volatile power prices. In essence, we are trying to be present in different technologies to be able not only to address the volatility in the markets, but maximize our profitability as well through overall portfolio management. And it is equally important that we are not a pure generation company, but a utility with retail exposure as well. And this has helped us secure our overall profitability in times of lower power prices, offsetting the losses that we have experienced on the generation side. Therefore, we do have all the needed tools and instruments to navigate high priced periods as well as low priced periods and volatility between the 2 of them, between long-term periods and short-term periods or even in intraday. On top of this, we are also investing on our regulated and visible distribution activity, which is not affected by market volatility and provides stable and visible cash flows. Therefore, our overall integrated business model is predictable in terms of performance, which we target to further increase in the years to come as we implement our growth investments. Let me also make a special reference to the management team of PPC that has been implementing our strategy. This is a very strong team that consists of individuals with a wealth of experience from many industries and various countries. We bring in the team experience from energy, telecommunications, FMCG, construction, industrial processes, strategic advisory and others in several countries and several continents. Many of them repatriated in Greece in the last years for PPC. Each one of them, top on their field, all of us together absolutely capable to deliver the targets we've set and bring PPC to even greater heights. But before I conclude today's presentation, let me summarize the key goals of our plan for the next 3 years. In terms of financials, we are investing EUR 10.1 billion focusing on renewables, flexible generation and distribution networks. And this is fully self-funded, mainly through our operating cash flows and to a lesser extent, by debt, keeping our leverage ratio below 3.5x. Consider that around EUR 5 billion of those investments are discretionary. Please note that if needed, we might prioritize share buybacks versus CapEx. We are targeting EUR 2.9 billion EBITDA in 2028, a 45% increase compared to the EUR 2 billion area EBITDA, we target for this year. And by 2030, it will exceed EUR 3.2 billion. Our bottom line performance is also expected to record a material improvement with net income doubling by 2028, climbing to EUR 900 million. Dividend distribution further improves with DPS reaching EUR 1.2 in 2028. On the operational level, we are building our successful renewables rollout so far further increasing our capacity by another 6.3 gigawatts by 2028, increasing, at the same time, our focus on flexible generation assets to capture high value from the market. We are approaching towards the end of our decarbonization journey with our generation portfolio becoming coal-free by the end of 2026. And we are growing our regulated business as well with RAB increasing to EUR 6.5 billion. And we are doing all that, having as a basis of our strategy, our vertically integrated business model, which has been a source of resilience but also fueling our growth in Southeast Europe region. Through our announced strategy and investment plan, we are becoming one of the European leaders in the energy transition. Thank you all, and now look forward to get your feedback and your questions. Thank you very much.
Ioannis Stefos: Okay. So we may now proceed to the Q&A session. As mentioned earlier, we will take -- we will start by taking questions here from the room. And then we will also answer any questions, that have not been covered, from the webcast. From those that -- from you that you are here in the room, please, if you want to make a question, please raise your hand, and we will bring a microphone to you. Okay. So we have the first question from Alessandro.
Unknown Analyst: I have 3. First one is related to the Greek power market in the sense that your business plan has a significant amount of renewable capacity additions. I understand that the company is focusing on flexible capacity investments, but still the 1.5 gigawatts of batteries are covering only a portion of the output. So I wanted to understand how do you see in the medium term, the evolution of the Greek power market, if you see any risk? And I wanted to understand the extent of CapEx flexibility that you have on renewables, especially in light of the EUR 5 billion investments that you mentioned at the end of the presentation, does that -- could be done or not?
Georgios Stassis: You may repeat the last part, I cannot hear you very well.
Unknown Analyst: I was telling. I wanted to understand the extent of CapEx flexibility on renewables, especially on the EUR 5 billion opportunistic investments that you mentioned at the last part of the presentation. Second question is linked to the first one, and it's on the distribution business because I wanted to understand, well, the company has already increased distribution investments quite a lot in the last years. I wanted to understand if we can consider this as the upper threshold of investments in distribution because I understand that you also want to balance the tariff increase for customers. And the third question is on batteries. I wanted to ask if you could share some color on the types of returns that you see on this type of projects. We understand that you want to implement mainly standalone batteries. Yes, if you could provide some data on maybe the IRRs that you see in the Greek market nowadays.
Georgios Stassis: Okay. Thank you very much. I mean, with regards to the Greek market and what we try to illustrate here is that you don't have on a stand-alone, the Greek market or the Bulgarian market or the Romanian market nowadays. These are markets which are coupled, interconnected and they work together. So when we do our analysis, we model the Greek market, but we also model Bulgaria and Romania and so on and so forth. We go to Hungarian and other markets, and we understand the interconnections, and we are resolving, let me say, the model in assuming the demand versus the trends we see and the different pace the countries are moving. For instance, in Greece, we moved very fast in the last years, and we did a lot of investments in clean technologies and the result of that is already visible, not only in our company, but in the market because Greece used be, for more than 20 years, if I don't mistake, a net importer and now has started switching becoming a net exporter. Why is this happening? It's happening because the internal generation mix is a little bit cheaper versus the rest of the countries, and therefore, somebody is asking this energy outside the country. What I'm trying to say is that in order to understand the Greek market or the Bulgarian, the Romanian, you need to think the whole. This is the first point, and this is how we work. Then considering that there will be a need for very big interconnections in the overall area, also in Europe, but interconnections take time. The bottlenecks that today exists between Austria and Hungary are reaching a limit right now on the capabilities of that region. And therefore, as demand is growing, we don't see the region following on the lower price trend of the rest of Europe, especially taking into account the Russia-Ukraine situation. God will, the war, we hope will finish soon rather than later. And then you will have the reconstruction of this wonderful country. And this will increase the demand of this country for quite a few years until they reach their own capacity internally. So this is draining up, it's juicing up all the energy on the north. Therefore, this is another important element. And the third important element is the energy transition that every country is doing and is doing it in different pace. There will be a lot of -- if I'm not mistaken, around 13 gigawatt of capacity, which will removing -- which will be removed from the system in the following years, especially in Bulgaria and Romania. Greece has already started earlier, we are close to the end of that. But also in Greece, we will start removing oil generation, we will start in the islands or we will start removing the older gas units. So taking all the situation together, you see today -- you start to think of the maximum penetration of renewables that you can have. And then you add batteries and as batteries are added, then the possibility of renewables can increase further and then you add more batteries and then renewables go back -- it takes an example of California, what's happening in California is a typical example. So we see -- we think that all our investments in our system analysis but also cross check with a lot of the researchers, Bloomberg Energy Finance and many others, let me just make a name, seem to more or less agree with us. But in this region, there will be a need for a lot of capacity, a lot of buildup of capacity and of course, the capacity that nowadays means renewables and flexibility. And this is what we do. On the other hand, I've said that around EUR 5 billion of investments are investments that are discretionary. What do I mean? We are in a constant check of every park, every investment we do before we started. We double check, even the very fact that we have a Capital Market Day on an annual basis. Why is this happening? Because we fine-tune every third year that we announce every time that we meet. And this is a system we will keep on doing. So we are checking every time. We will have the proper returns on the projects that we invest, and this is how we invest. I've said before, we will not hesitate to prioritize share buybacks versus CapEx. What I meant is that as the market is understanding PPC day by day and year by year, it should, in my opinion, upgraded significantly. And if not, we will be prioritizing more our buybacks because it's the best investment we can do for us. So this is a combination of how we will move in the coming years. Then on the DSO, very correctly, you said that we have increased our investments. We will keep investing. Of course, this is -- you need to be -- to fine-tuning what is the end tariff for the customers. There is no question that in Europe, all over the world actually, but in Europe as well now, my capacity as a Vice Chair of Eurelectric, we have done a study last year, showcasing the huge investments that need to happen in the European networks. They need to quadruple in the coming years. But if you quadruple the grid investments, it's impossible to be paid by the European citizens. So what we do, we increase so much as we think it's doable by the citizens. And the pace we have, we think we are in a correct way. This is the third point. The fourth, I don't remember what you asked at the end.
Unknown Analyst: On BES. IRRs on BES what you're seeing.
Georgios Stassis: On BES, we see returns around 8%, 9%, closer to 10%, let's say, 9% to 10% on BES right now.
Unknown Analyst: A few questions from my side. You talked about Southeastern Europe. Do I understand correctly that your business plan incorporates investments in -- beyond Greece and Romania in the other countries that you have presence like Italy, Bulgaria and Croatia. Do you -- will you consider investing in other countries in Southeastern Europe as well? This is one question. If you -- if there are opportunities in -- if you find opportunities, could you consider acquiring retail in the countries that you have presence beyond Greece and Romania? And regarding batteries, you talked about 1.5 giga, if I'm not mistaken. What could cause delays in your business plans in developing batteries, especially in Greece since you start from 0, as I understand?
Georgios Stassis: Well, I'm starting from the last one, not from 0 because we have a very strong pipeline of batteries projects actually from 1.5 gigawatt of batteries projects. 1 gigawatt is fully secured. We have everything we need and we are in execution. It's a matter of construction, so we will build them. I would say 2/3 are fully secured on our battery ambition and 1/3, we will work in the coming years to secure them. So we are very relaxed with our batteries. We -- actually, we're even more relaxed because we have our customers, we have our demand and the tons of developers are knocking our door every day, asking to find an agreement to develop batteries. We see a very big enthusiasm. We are very selective on the projects with you. Already 2/3, as I said, is secured, and we will find the best of those for the last 1/3. Now about other countries, of course, we will keep investing in all the countries that we have opened. We are investing as we speak in Italy. We do solar. I think Italy will be a good market for batteries, but it's not a must, we will see. We will be investing in Bulgaria. We'll be investing in Croatia. Of course, about majority of our investments is in Greece and secondary in Romania and then the rest. But all of them have the characteristics that we like these countries. They are interconnected to the same system, which is linked to the periphery of the Southeast Europe with the energy perspective that I described earlier before. So we will not invest in countries which are not interconnected or are not part of the European energy system. Having the strategy of the regional play, the strategy of the vertical diversification means that you need to go in countries which are touching each other with fiscal interconnections, but also setting the same rules of the game, the same European trends. So we will not grow in other countries. We might do spontaneous, for instance, little things here and there, but very insignificant. Now about retail. I think when you are looking at PPC, given the vertical integration that I've talked many times, we have delivered in low commodity prices, very high commodity price and what is our strength at the end is our customers. We say the customers is the anchor of our growth. It is truly like that. I mean having the demand of the customers, we are able to build behind all we need. PPC has no merchant risk in reality, 0 because we sell to the market, we buy from the market, but all we do goes to our customers at the end. And still, we are long on customers. And therefore, we pay a lot of attention on the customer-centric model to keep the customer base, not necessarily to keep it -- to keep the best part of the customer base, let me rephrase. And that's why you see us talking a lot about retail, talking about Kotsovolos, I have the slide for that because we see a lot of synergies there. You see the value of control is not directly the value of Kotsovolos, indirectly what it gives you. That's why we entered the retail service of telecom because it's another way to approach a customer. We want to -- we are approaching the customer in a holistic way, and we want to preserve that in many different ways in order to keep the demand and having the demand to do all the play behind it. Therefore, we don't need a bigger share in Greece, of course. Actually, in Greece, we will keep on losing. Actually, we are losing in a far lower pace from what we thought initially. So we're doing something very good in Greece. In Romania, we are in a stabilization period right now because Romania moved from the regulated base back to the free market in the last year. So we need to stabilize there in the coming years. May be in the longer term to increase a little bit, but always through our own organic operation. In other countries like Bulgaria or Italy, Italy, particularly could be an opportunity of growing inorganically in the supply sector. But only we find something attractive, it's not a must. In general, talking about M&A, we are not looking any segment in a big way. We will be looking M&A only opportunistic in whatever we find valuable to fit our strategy. We don't need M&A to deliver our targets. That's it.
Ioannis Stefos: Again, if there is any other question from the room, you may raise your hand and we will bring the microphone to you.
Ella Walker-Hunt: Ella from Citi. I was wondering, given that -- in the first 9 months, you've already achieved more than 80% of your full year guidance. I'm wondering why there wasn't a sort of guidance upgrade there for the full year? That's my first question. My second question is to do with the distribution CapEx actually. Does that include any subsidies that wouldn't enter the RAB? And if so, can you just give us some -- does the distribution CapEx include any subsidies that wouldn't enter the RAB? Or does it 100% of the -- of the CapEx going to the RAB?
Georgios Stassis: Okay. So about our net result. We started the year saying that it's not a good year from the hydro perspective, for those who are following us, they know very well but unfortunately, this year is not a good year from a hydro point of view. We managed to have -- already a result that we wanted to have. We think we will keep it. Actually, our target was to do above EUR 400 million, and we think we will do above EUR 400 million. But we still have reduced hydro reserves when we enter the last couple of months. Of course, rain is coming, and this is very good. But we think right now, given the seasonality of our market from quarter-to-quarter, it's more prudent to stay on our initial projection. Although we might also overpass it a little bit by the end of the year. This is how we feel. Then on subsidies, in Greece, no, in Romania, there are part...
Konstantinos Alexandridis: Yes, there are some subsidies included. That's why we do not include those in the RAB. So that's why you do not see a significant ramp up in line the distribution of Romania.
Georgios Stassis: Because in Romania is a part of a period there are a lot of additional investments, which are fully subsidized by EU and they don't accept inside the RAB. This will be something for 1 or 2 or 1.5 years.
Ioannis Stefos: Okay. Thank you, Ella. We have another question on the back.
Richard Alderman: Richard Alderman, BTIG. Just a couple of clarification questions, if I may, please. You said you have absolutely no merchant risk exposure. Does that mean then you have absolutely no trading profitability contribution within the plan. And then also just to clarify your thoughts on -- you talked about the risk of weaker gas prices from the middle of '26 onwards. How long do you think that weakness could last? What's your worst-case scenario?
Georgios Stassis: Sorry, can you repeat the second part because I can't hear you very well. Sorry for that.
Richard Alderman: I changed microphone. Is that any better? I think I'm feeding back from the speaker. The first question is, do you have any trading profitability within your generation mix? You say you have 0 merchant exposure. So I'm just clarifying whether you have any trading profits inside FlexGen as per other utilities? And then the second question is, you talked about the prospect of weaker gas prices. I'm just wondering what your worst-case scenario is for those weaker gas prices from, say, mid-'26 onwards? How long does that last? What could that do to regional power prices?
Georgios Stassis: Yes. Okay. Thank you very much. We don't do significant prop trading. So we don't have, in our numbers, big profitability from trading, it's insignificant. Our energy management is focused primarily on managing our own internal portfolio. We do some trading, but it is insignificant in terms of margins. Then on the gas prices that I've told -- I've said, do you want to take that?
Konstantinos Alexandridis: Yes, of course. So what we have said is that according to the plans that we have, we expect that the gas price will be moving down to '27 when looking beyond the '26 period, '26, '27 and as I said, we have tested our numbers even versus a further decrease, but this -- we consider this to be a remote scenario given that the pressure that will exist in terms of the LNG needed for Europe will not allow for further decrease below the '27 area that we have forecasted.
Ioannis Stefos: Okay. So we can switch to the webcast. And in the meantime, if you think of something at this moment from the room, we can come again back. We have a question about the 9-month performance and the working capital. We have seen a negative working capital in Q3. If we expect this dynamic to reverse and why, in the fourth quarter?
Konstantinos Alexandridis: Yes. This is based on the seasonality that we experienced all these years within the group. We expect that by the end of the year, we will be positive in terms of working capital usually, the 9 months results include some sort of pressure on our working capital. And therefore, we do not foresee any problem for the year-end.
Ioannis Stefos: Okay. We also have a question that relates to our plans to explore any opportunities in Romania for gas capacity. If we can provide more color on this.
Georgios Stassis: Yes. We think that we can do some gas in Romania, and this will be mostly acting as a picker. I cannot disclose exactly which locations we think we have -- we are very close in finalizing 1 or 2 locations. But this will be a total not exceeding, let's say, 100, 150 megawatt more or less. But because we are still negotiating. I wouldn't like to expose the exact locations. That's it.
Ioannis Stefos: Okay. So another question from the webcast relates to our telco business activity. Three questions about that. The first one, if and when we are planning to launch a voice service as well?
Georgios Stassis: Very shortly.
Ioannis Stefos: Okay. The second, if we would consider starting bundling telecom with energy in the retail market?
Georgios Stassis: Quite shortly.
Ioannis Stefos: Okay. And the third one is, apart from the EUR 420 million that we have already deployed as capital, how much likely is it to invest in connecting customers, what is the additional amount, both for connecting customers, but also for the retail part of the business?
Georgios Stassis: That's the beauty because we already are very, very, very big in retail in general. We are not building new stuff for our retail. We are servicing our customers with the existing retail engine we have for energy. So we don't have additional billing or whatever you need to do in order to serve the customers. We have everything in place already. We have huge synergies with our current activities. So I would say almost 0 is the additional investments we do internally to serve the retail. On the other hand, of course, you have customer-related vertical costs when you do the connection, and this is passed through to the customer.
Ioannis Stefos: Okay. Clear enough. So another question about the data center that we discussed in the presentation, how close we are at securing commitment from a hyperscaler? And if we could -- let's say, at what point in time, we believe that this would cease to be an optionality and become part of our business plan?
Georgios Stassis: Well, that's, of course, a very important question and very difficult to answer because you see there's a huge investments happening in the United States, and people are struggling sometimes to raise the debt needed to perform these investments. So everybody is focused right now there. As I said, this is an optionality for us but a very important optionality, it is -- and it will be transformational if and when it will be happening. I don't -- we have very good discussions with several of them. And the way I understand them, I believe that probably -- and I said this as well in March when we first discussed about that. I would think that somewhere next year, end of next year, we will have a clear picture on this project. And by the way, anyhow for us, this time is needed because we are doing all the analytical engineering and permitting. So I think we will end the next year with a fully permitted project, which is not yet done, fully permitted project and with a clear answer.
Ioannis Stefos: Okay. Thank you. Another question about the CapEx. Given the fact that we have already announced a EUR 10 billion CapEx plan for the next 3 years, and our leverage is at 3x, net debt to EBITDA. And at the same time, we are also distributing dividend. If we would see any risk of ourselves at a point in time to need additional capital in order to preserve this headroom that we have -- this threshold of 3.5x.
Georgios Stassis: There is no need for any said capital increase in PPC at all. So we will not pursue them at all. I'm very firm and clear.
Ioannis Stefos: Okay. So another question about -- if we can provide an update about a possibility of waste-to-energy project in Kalamia, Northern Greece.
Georgios Stassis: The waste-to-energy regulatory regime is in discussion in Greece. There are consultations going on. The Hellenic Republic has opened the dialogue. We are not very interested into entering in this business other than in Kozani, where we are -- we have a specific area where we have a district heating. So our interesting angle is coming from that fact. We are waiting for the regime to finish in order to take our final decision in order to see if we will add to the district heating service we give to the nearby city, also a waste-to-energy part or not.
Ioannis Stefos: Okay. So there is also a clarification to provide about the CapEx plan. We mentioned that EUR 5 billion is discretionary CapEx. If we can, let's say, provide a clarification what exactly we mean by that?
Georgios Stassis: I think I just explained.
Ioannis Stefos: You just explained, okay. Okay, I missed that. I missed that. Okay. Okay. So there are no other questions from the webcast.
Richard Alderman: Richard Alderman, BTIG again. Just coming back to the data center point and your applications going through the next 12 months for more planning to get the whole project ready for a customer for a data center hyperscaler. When you think about all of the changes you're making in your FlexGen portfolio, so you're closing gas, you are building gas, you're closing lignite, you're building a lot of renewables. In your plan, how much of your existing grid connection that you already own are you utilizing for yourself? And how much might be available for more than one data center customer to utilize with you, be it with or without new renewable CapEx or with or without a PPA? I asked the question because the trend at the moment amongst utilities is just to discuss the amount of powered land, as they call it, RWE is example of selling a project where you have land, grid connection guaranteed and energy services. Obviously, in your model, that's a similar sort of strategy, but I'm wondering how much space you have over, say, the next 5 years to utilize that grid connection.
Georgios Stassis: This is a very valid question. You're right. And the way we are doing it, designing it behind the meter, injecting it directly to our capacity is -- we'll be releasing also capacity from the system. So it's the same question from another angle. Let me say that in that particular area, we have availability of around 4 gigawatt that one could build, let's say, and we are building, we are using it. But when we will put the data center, we will use it through the data center to interconnect and therefore, we will land probably if we were and we will reach this point. When we will reach this point, we will add additional capacity to serve the market. It depends how you see it.
Ioannis Stefos: Any other questions from the room? Okay. We also have some additional questions from the webcast that we can cover. The first one relates to the distribution CapEx that we are doing. If we can elaborate on the benefit of having EUR 900 million, more or less CapEx per year in the distribution business, given the fact that -- as the question says that we expect a low increased uplift in the distribution profitability and whether specifically the smart meters investments can benefit us on overall profitability?
Georgios Stassis: First of all, the smart meters, they get an additional percentage of premium on the investing in -- you have 1% more. And any digital investments in Romania, they get 1.5% more. So all these investments, they get a bonus. That's why this is one -- it's very correct for the regulator to drive investments in that direction. So I think we need to always to have this in our mind.
Ioannis Stefos: Okay. Another question about the AI initiatives that we touched in the presentation, and we have made a calculation or quantify what could be the return until 2028 from these initiatives?
Georgios Stassis: Well, we have assumed -- we were quite conservative, I have to say, because all the world is just entering this story. In our worst conservative calculations, we have assumed in our plan EUR 50 million saving because of this, which I think is very modest. And we will be able to forecast and project better next year as this plan will develop.
Ioannis Stefos: Okay. Another question about the telco business, whether we would consider to do something similar as we are doing in Greece in another country.
Georgios Stassis: No. No, because that was a very specific case in Greece. Greece has 75% of its distribution network, aerial. There's no other country in such a high proportion of aerial network. So for us, doing this infra play in Greece, makes absolute sense. We are very cheap by rolling out this network. We have a rollout cost of EUR 160, somebody was telling me that the FTTH association was looking at an average of EUR 350 in Europe. So we have an average of EUR 160 just to give you an order of magnitude. So this is a very specific project for Greece that we found the opportunity and we entered.
Ioannis Stefos: Okay. Also, if we can provide sensitivity for the power prices in terms of our profitability, I think [indiscernible] that you made a reference in your presentation, if you can again, repeat it because maybe it was...
Konstantinos Alexandridis: Yes. So what we have said is that we have tested a downward movement of gas, gas price that, of course, affects the day-ahead market price and therefore affects both sides of the equation, both the generation, lower profitability and generation so what we are saying is that this 10% move on the gas price is sort of something like less than 1% in our profitability which means we will be losing something like EUR 20 million out of the EUR 2.4 billion in 2026, if we were just to see a huge jump by 10% further than what we have assumed.
Ioannis Stefos: Also another question about the net profit estimate that we have, what is the average cost of funding that we have assumed for 2028?
Konstantinos Alexandridis: Yes. Well, we have -- the blended cost of funding is close to EUR 4.2 billion as this is comprised of various elements that we have within our existing portfolio of debt, but also new ones coming in.
Ioannis Stefos: Okay. Okay. If there is no other question as we speak from the webcast. The rest of them have been already covered. Not sure if there is any additional questions from the room? If not, I mean, we're close to 2 hours now. So we can conclude the event.
Georgios Stassis: Thank you very much for being here and for also participating through the web. Thank you very much.